Operator: Thank you for standing by. Welcome to Phoenix New Media Third Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker today, Muzi Guo from Investor Relations. Please go ahead.
Muzi Guo : Thank you, and welcome to Phoenix New Media's earnings conference call for the third quarter of 2024. On today's call, we'll begin with an overview of our quarterly results, followed by a Q&A session. You can find our quarterly financial results on the webcast of this conference call on our website at ir.ifeng.com. Before we continue, please note our Safe Harbor statement included in the earnings press release, which applies to any forward-looking statements made during the call. Additionally, unless otherwise specified, all figures mentioned are in RMB. Joining me here today is our CFO, Mr. Edward Lu. I will now turn the call over to him to deliver the prepared remarks on behalf of our CEO, Mr. Yusheng Sun.
Edward Lu : Thank you, Mu. Hello, everyone. I'm pleased to deliver today's opening remarks on behalf of our CEO, Mr. Sun. In the third quarter, we continued to focus on producing high quality original content, swiftly covering significant news events. This elevated our media presence, which translated into commercial success. During the Paris Olympics, our team provided diverse coverage on the ground reports, professional commentary and engaging videos, showcasing our unique perspectives. We focused not only on the outcomes of the games, but also on inspiring stories from Olympic figures worldwide, as well as trending topics, particularly the controversial ones. Our Sports column produced 8 in-depth pieces that sparked extensive discussions across major platforms, earning endorsements from seasoned media professionals. Our video content achieved a total view count of 160 million with over 90 million views Douyin. On Weibo, it reached trending topics more than 50 times, further solidifying Feng's leading media position in major events. The Olympics also became a major commercial success for us, as we assisted over 10 clients with their marketing campaigns in France. Despite the challenges, each project was delivered to the client's satisfaction, creating exemplary cases of international content, dissemination and marketing that achieved both recognition and profitability. In the finance sector, our channel continues to lead. In September, we hosted the new opportunities, new vitality, Feng’s Bay Area Finance Forum 2024, featuring prominent guests from politics and academia. Many speech and the discussions from the forum went viral across the Internet, covering topics such as economic trends, capital markets, and healthcare. The total number of views approached nearly 1 billion with short video views reaching 180 million alongside numerous trending topics on Weibo and Douyin. This event not only solidified Feng’s brand influence in the finance sector, but also provided a platform for addressing economic concerns, helping individuals regain their confidence. At the same time, we are continuously enhancing our commercialization efficiency by optimizing the alignment of commercial resources with our clients. This year, targeting the rapidly growing public sector, we positioned culture, tourism and culinary content as key vehicles for our industry clients' marketing strategies. One example is handing time over to Shanxi, a culture travel documentary that explores Shanxi's ancient architecture, trendy districts, industrial features, and Jin Cuisine, highlighting the unique character and the charm of these cities. Additionally, we tailored a series of content and activities for the Hubei Department of Commerce focused on the journey to discover true cuisine, bringing this millennial old culinary tradition to a global stage, while continuing Feng's Golden Wutong China restaurant guide evaluation system, fostering a renaissance of true cuisine and the culture exchange. Through this commercial initiative, we demonstrated our strong influence and communication advantages in travel destination branding, injecting new vitality into local culture and tourism. Overall, in the third quarter, we continue to prioritize quality content, destination, enhancing our media influence through exclusive reports and original content. Meanwhile, by expanding our marketing resources and optimizing our client portfolio, we continuously strengthened our monetization capabilities. Looking ahead, we remain committed to differentiating ourselves as a media platform and achieving our monetization goals to navigate the challenging market environment. This concludes our CEO, Mr. Sun's prepared remarks. I will now walk you through our financial performance for the third quarter of 2024. All figures mentioned will be in RMB. Our total revenues were RMB164.3 million, representing an increase of 7% from RMB153 million in the same period of last year. Specifically, net advertising revenues were RMB148.4 million, representing an increase of 10.5% from RMB134.3 million in the same period of last year. Paid services revenues were RMB15.9 million compared to RMB19.3 million in the same period of last year. Cost of revenues in the third quarter of 2024 were RMB102 million compared to RMB101.2 million in the same period of last year. Gross margin in the third quarter increased to 37.9% from 34.1% in the same period of last year. Loss from operations was RMB25.9 million, an improvement from operating loss of RMB38.5 million in the same period of last year, due to strict cost control measures. Net loss attributable to ifeng was RMB18.5 million compared to net loss attributable to ifeng of RMB21.5 million in the same period of last year. Moving on to our balance sheet, as of September 30, 2024, the company's cash and cash equivalents, term deposits, short term investments, and restricted cash were RMB971.8 million or approximately RMB138.5 million. Finally, I'd like to provide our business outlook for the fourth quarter of 2024. We are forecasting total revenues to be between RMB197.9 million and RMB212.9 million. For net advertising revenues, we are forecasting between RMB108.2 million and RMB190.2 million. For paid service revenues, we are forecasting between RMB17.7 million and RMB22.7 million. This forecast reflects our current and the preliminary view, which are subject to changes and substantial uncertainties. This concludes the prepared portion of our call. We are now ready for questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] Our first question comes from Alice Tang of First Shanghai. Please go ahead.
Alice Tang : Good morning. Thank you for taking my question. In the third quarter, the company achieved year-over-year growth in advertising revenue, the trend from the first half of the year. So could the management [Indiscernible] for the future.
Edward Lu : Okay, good morning. Thank you for your question. Actually, this year, our advertising revenue has outperformed the overall Internet media advertising market. This success is primarily due to our improved content monetization strategy and tactical adjustments, including the restructuring of the sales team, content team incentives and measures to encourage innovation. These efforts have fostered close collaboration between ourselves and the content teams, creating significant synergy. In terms of content, the public increasingly values content quality, human centered narratives and emotional connections conveyed through media. These are the core attributes we have consistently maintained. Looking at the result of our commercialization, it's clear that these qualities have been affirmed and recognized by both the market and our clients. Building on this solid foundation, we continue to emphasize the uniqueness of our marketing strategy. We have positioned ourselves as a media platform with a strong focus on international content, dissemination and marketing. For example, we consistently cover major global events and activities, while also engaging areas of interest for influential Chinese companies. This enables us to assist these companies in executing effective overseas marketing campaigns, seamlessly combining our content strength with our marketing expertise. For instance, during the Olympics, we saw a significant year over year revenue increase in the traditionally underperforming FMCG sector. Similarly, innovations in content and monetization have also driven strong growth in sectors like the public sector and the alcoholic beverages in the third quarter. That said, we have observed a trend of declining advertising spend per customer. We need to better and more quickly align our content resources with client needs. Another challenge is the increasing complexity and the cost of project execution. We must continue to focus on cost control to ensure we meet revenue growth with the most efficient operations. Despite these challenges, we are confident that the market still holds many opportunities. Thank you, Alice.
Alice Tang : Thank you.
Operator: Thank you. I see no further questions at this time. I will now hand the conference back to Muzi.
Muzi Guo : Thank you. This concludes our Q&A session and conference call. If you have any additional questions, please don't hesitate to reach out to us. Thank you for joining us today, and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.